Operator: Good morning, everyone, and welcome to ONEOK's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] With that, it is my pleasure to turn the program over to Ms. Megan Patterson, Vice President, Investor Relations. Please go ahead, ma'am.
Megan Patterson: Thank you, Bo. We issued our earnings release and presentation after the markets closed yesterday, and those materials are available on our website. After our prepared remarks, management will be available to take your questions. Statements made during this call that might include ONEOK's expectations or predictions should be considered forward-looking statements and are covered by the safe harbor provision of the Securities Acts of 1933 and 1934. Actual results could differ materially from those projected in forward-looking statements. For a discussion of factors that could cause actual results to differ, please refer to our SEC filings. With that, I'll turn the call over to Pierce Norton, President and Chief Executive Officer.
Pierce Norton: Thanks, Megan. Good morning, everyone, and thank you for joining us today. On today's call is Walt Hulse, the Chief Financial Officer, Treasurer and Executive Vice President, Investor Relations and Corporate Development; Sheridan Swords, the Executive Vice President and Chief Commercial Officer. Also on the call are Kevin Burdick, Executive Vice President, Chief Enterprise Service Officer; and Randy Lentz, the Executive Vice President and Chief Operating Officer. Yesterday, we announced higher third quarter results and affirmed our 2025 net income and adjusted EBITDA guidance ranges. We also reaffirmed our expectation to recognize approximately $250 million of synergy-related adjusted EBITDA in 2025. Our third quarter adjusted EBITDA increased 7% compared to the second quarter, once again highlighting the sequential progression of earnings we anticipated this year. Compared with the first quarter of 2025, adjusted EBITDA has increased approximately 20%, driven by volume growth across our operations, steady demand for our services, and the consistent execution of acquisition-related integration strategies by our employees. We believe that ONEOK's long-term market value will be driven by our strong fundamentals, contiguously integrated assets and consistent results from our diversification efforts. Key among these catalysts are ONEOK's significant operating leverage, contiguously integrated assets, synergy earnings with the majority being within our control, and our financial strength and flexibility. So let's start with the operating leverage. We've either recently completed or are nearing completion on projects that will add nearly 600,000 barrels per day of NGL pipeline capacity, more than 200,000 barrels a day of fractionation capacity more than 550 million cubic feet per day of Permian Basin natural gas processing capacity, and an expandable refined products capacity to the growing Denver market. All of these projects are either complete, or expected to be completed within the next 1.5 years. This operating leverage is a key differentiator for ONEOK, providing the ability to capture significant earnings uplift with limited incremental investments. Our contiguously integrated assets, including our extensive NGL and refined product system provide strategic connectivity and growth opportunities. Regarding acquisition-related synergies, we remain on track to realize approximately $250 million of incremental synergies in 2025. By the end of this year, we will have realized nearly $500 million of synergies since closing the Magellan acquisition in September 2023, far exceeding our original expectation. We continue to see meaningful synergy opportunities ahead across all of our acquisitions with the majority of these completely within our control and not dependent on commodity prices. Finally, our financial flexibility, strengthens our position and is the cornerstone of ONEOK's business. A strong balance sheet and an intentional and disciplined approach to capital allocation, and cash flow generation continue to support our ability to generate long-term value for shareholders. Our established and stable customer base includes some of the largest and most well-capitalized producers, refiners and downstream customers. Our combination of demand pull and supply push earnings, and our long-standing customer relationships provide resilience through different cycles. ONEOK's strong fundamentals and integrated assets position us well to navigate near-term challenges and continue delivering results for investors and customers. I'll now turn over the call to Walt and Sheridan to provide the financial and commercial updates.
Walter Hulse: Thank you, Pierce. Third quarter 2025 net income totaled $940 million, or $1.49 per share, a 10% increase compared with the second quarter. Third quarter adjusted EBITDA totaled $2.12 billion, which included $7 million of onetime transaction costs. The acquired EnLink and Medallion assets delivered nearly $470 million in adjusted EBITDA during the third quarter, continuing their meaningful contribution to year-over-year earnings growth. Additionally, we benefited from higher volumes in our natural gas liquids and natural gas gathering and processing segments. During the quarter, we repurchased more than 600,000 shares of common stock, and retired more than $500 million in senior notes through a combination of scheduled maturities and repurchases. Year-to-date, we've extinguished over $1.3 billion in senior notes through maturity repayments and repurchases. This combination of share repurchases and debt management reflect our commitment to a balanced capital allocation approach that utilizes multiple available channels to create shareholder value. Our long-term leverage target remains at 3.5x, which we expect to approach in the fourth quarter of 2026 on a run rate basis. With yesterday's earnings announcement, we affirmed our 2025 net income guidance range of $3.17 billion to $3.65 billion, an adjusted EBITDA guidance range of $8 billion to $8.45 billion, which as a reminder, excludes the impact of onetime transaction costs. Year-to-date, transaction costs included in adjusted EBITDA have totaled $59 million. We continue to expect our total capital expenditures, including growth and maintenance capital to be in the range of $2.8 billion to $3.2 billion in 2025. As we finish out the year, we remain focused on capturing additional synergies and operational efficiencies with approximately $250 million in synergy contributions expected for 2025. As discussed last quarter, we don't expect to pay meaningful cash taxes until 2029, which is a year later than we previously anticipated. Additionally, we expect our cash tax rate in 2029 to be below the full 15% corporate alternative minimum tax rate, which is also less than our historical expectations. Since the One Big Beautiful Bill, we now expect to pay more than $1.5 billion less in cash taxes over the next 5 years, and the corresponding increase in expected free cash flow supports our continued flexibility for capital allocation in the years ahead. I'll now turn the call over to Sheridan for a commercial update.
Sheridan Swords: Thank you, Walt. Starting with the natural gas liquids segment. Total NGL raw feed throughput volumes increased compared with the second quarter, driven by higher volumes in the Permian Basin and Rocky Mountain region. Rocky Mountain region volumes averaged more than 490,000 barrels per day, another record for the region and a 5% increase compared with the second quarter, driven by higher propane plus volume and continued strength in ethane recovery. Gulf Coast/Permian NGL volumes averaged nearly 570,000 barrels per day during the third quarter, and 8% compared with the second quarter driven by the continued ramp-up of newly contracted volumes. In the Mid-Continent, less ethane recovery led to slightly lower volumes compared with the second quarter, but we continue to see consistent C3P+ volumes from the region. Regarding our fractionation operations. Our Mont Belvieu fractionation complex, including our MB-4 fractionator is back to capacity following the incident in early October. After initial safety reviews, we resumed operations at the majority of the complex within 72 hours. Repairs were made in operations at MB-4 resumed within 10 days following an incident. During the downtime, we were able to optimize our fractionation positions in Mont Belvieu and the Mid-Continent, as well as utilize storage. We anticipate working down any inventory build related to this incident in addition to the inventory being held over from the second quarter over the next several months. As we fractionate and sell the inventory, we will be able to recognize the associated earnings. We continue to see opportunities for ethane recovery across our system during the third quarter. Weaker natural gas prices in the Rocky Mountain region have led to greater recovery opportunities, and we expect to continue to see high levels of recovery through the first half of the fourth quarter across our entire system. Related to synergy products, we have now completed the primary Easton asset connections, including Galena Park, East Houston and our Pasadena joint venture, providing key connectivity between our Mont Belvieu NGL assets, and key Houston area refined product terminals. Additional downstream connections will be completed through early 2026. Additionally, the build-out of connectivity between our Conway NGL and Mid-Con refined product asset is on track for completion by year-end of 2025. Both of these projects are expected to provide benefits through increased transportation fees in our natural gas liquids segment, which we have already begun to realize, and also blending uplift in our refined product and crude segment. It's also important to note that these projects provide transportation and blending opportunities with third parties, expanding the optionality of these assets further than ONEOK's own blending business. Moving on to the refined products and crude segment. Third quarter refined product volumes increased sequentially, reflecting increased seasonal demand. When booking year-over-year, we continue to experience some regional supply disruptions along the system related to refinery maintenance, primarily impacting short-haul lower tariff movements. On average, refined products tariff rate benefited from the July adjustments, where we increased rates by mid-single digits as expected. As of mid-September, we've entered the fall blending season. Liquid blending volumes in the third quarter and year-to-date have been higher than expected due to successful synergy execution. Physical blending volumes have increased approximately 15% year-to-date compared to the same period in 2024. Despite tighter margins from lower gasoline prices, increased blending capacity positions for a strong upside in a rising price environment. Our crude oil gathering and long-haul pipelines continue to perform well. Third quarter crude oil volumes increased sequentially demonstrating resiliency of our Midland gathering business. Moving on to the natural gas gathering and processing segment. Volumes increased across all regions compared with the second quarter of 2025 as producers continue to execute the 2025 plans. Looking first at the Permian Basin. Volumes increased 5% compared with the second quarter, averaging 1.55 billion cubic feet per day in the third quarter. Currently, we have 20 active rigs on our dedicated acreage, driving the need for recently announced capacity expansions, totaling more than 550 million cubic feet per day across the Midland and Delaware basins. The Permian Basin continues to be a key area of strategic growth for us, and we will continue to be actively engaged and intentional in assessing opportunities to expand and enhance our integrated operations within the basin. In the Mid-Continent, natural gas processing volumes increased 6% compared with the second quarter, highlighting producer resiliency in the basin and strong production results out of the Cherokee formation in Western Oklahoma. There are 11 rigs on our dedicated acreage in Oklahoma. Rocky Mountain region process volumes averaged 1.7 Bcf per day in the third quarter of 2025, a 4% increase compared with the second quarter, and a record for ONEOK in the region. Strong well completions during the second quarter drove third quarter volumes and will continue to benefit throughout the remainder of the year. There are currently 16 rigs on our dedicated acreage. Looking forward, the current commodity price environment will likely drive more moderation and increased optimization of drilling and completion activities across the basins where we operate. However, even in a flat crude oil production environment, strong gas to oil ratios and continued production efficiency point to modest growth in our natural gas and the NGLs across our systems. I'll close with our Natural Gas Pipeline segment, which we reported another strong quarter and continues to exceed our original expectations for this point in the year. We continue to optimize the legacy EnLink asset and be opportunistic regarding natural gas pricing dynamics across our strategic assets in the Permian and Gulf Coast areas. We remain well positioned to help meet the growing demand for natural gas, both domestically and for LNG exports, with extensive pipeline network and key assets, key asset locations such as Oklahoma, Texas and Louisiana. We are directly connected to major LNG and industrial customers, and continue to work on additional opportunities with them. Additionally, we are in active discussions related to numerous potential AI-driven data center projects. The key to these projects remain speed to market, and our intrastate assets are located in premier natural gas supply and demand centers, close to many of these proposed projects, and are well positioned to meet the timing needs of the market. Pierce, that concludes my remarks.
Pierce Norton: Thank you, Sheridan and Walt. Before we move to Q&A, I want to close by emphasizing that we continue to see opportunities ahead. Importantly, we're executing on our strategy to combine our strategic acquisitions into an even stronger and more resilient business. Our integrated assets are performing well, expanding our reach in key basins and demand markets, and creating an even stronger commercial connectivity across our system. Our integrated assets continue to provide stable, fee-based earnings and position us to capture opportunities across market cycles. We're able to execute our strategy because of the employees across our company. I want to recognize their commitment and contributions to our business, and our vision for ONEOK. Their focus on safety, operational excellence and innovation is a key to our success. As we look ahead, we remain confident in our strategy, our strong fundamentals and the catalysts that we expect will continue to deliver growth and long-term value for our investors. Operator, we're now ready for questions.
Operator: [Operator Instructions] We'll go first this morning to Jeremy Tonet of JPMorgan.
Vrathan Reddy: This is Vrathan Reddy on for Jeremy. I appreciate you guys don't want to provide 2026 specifics at this point. Curious if you guys could frame up tailwinds versus headwinds as you think about earnings growth into next year. Should we -- specifically, should we think about that mid- to high single-digit growth still appropriate?
Sheridan Swords: This is Sheridan. Where we see our tailwinds, which push us into next year is obviously first is the synergies. We've put a lot of synergies in place this year, and we've got a partial yield into that. Easton being one of the big ones. We'll see a full year next year of that one also with the Conway NGL to Mid-Continent refined products, among others. We also have our growth projects coming online with the Denver expansion coming on midway through the year. As we mentioned in our remarks, we have that [ 500 million ] over 500 million a day of processing capacity coming on throughout '26 into early '27. So the stuff coming on '26 is going to be a tailwind as we continue to go forward. And then also, we think there's just a growth in market share that we'll see in the Permian and some of our other areas will continue to fuel our growth moving forward. So those are really -- as we see going forward, what's going to drive our growth into 2026.
Vrathan Reddy: Got it. And then on capital allocation, $45 million of buybacks in the quarter. Could you walk through, I guess, how you think about executing on the buyback versus debt pay down or other capital allocation priorities at this point?
Walter Hulse: Sure. Well, as we've said in the past, as we get closer to a clear path to our debt-to-EBITDA target of 3.5x, it's going to free up our flexibility to add some stock buybacks to the equation. We continue to be on track with where we think we need to get to from a debt-to-EBITDA standpoint. And with that visibility, we're starting to feel a little bit more flexible in our asset allocation, saw the opportunity to buy back some stock there in the third quarter and did a modest amount. We also saw a pretty nice opportunity on the bond side and executed on that as well.
Operator: We'll go next now to Michael Blum of Wells Fargo.
Michael Blum: Maybe we just go back to the '26 guidance. The slide in the deck, you removed the mid-single digit to high single-digit growth language. So I just wanted to make sure I understand the change there and just how you're thinking about '26?
Pierce Norton: Michael, this is Pierce. What I would say is our focus is on finishing 2025 strong and carrying that momentum into 2026 year. They just went over several of those projects and the different things that are going to impact 2026. We're continuing to have discussions with the drilling plans, with our producers. We're going to be finalizing our 2026 guidance in early part of first quarter of 2026. But I'd end this way that we are very confident in our positive trajectory. So as far as guidance for 2026, I'll just ask you to stay tuned.
Michael Blum: Okay. Fair enough. Appreciate that. And then just wanted to ask if you could quantify the potential impact of Waha spreads widening. Either can you capture that from your EnLink assets? Or do you have more open capacity on WesTex to capture those spreads than you have historically?
Sheridan Swords: Michael, this is Sheridan. Obviously, the Waha to Katy/Houston Ship Channel spread has had a positive impact especially when you bring together our ONEOK West Texas assets, the West Texas system and the EnLink system and capacity we have on other pipelines, we've been able to leverage that to grow that. We've been able to do that not only on the EnLink side, but also on our legacy ONEOK gathering system. So it has been a positive impact going forward. We will continue to see us use that capacity as we grow our gathering and processing for our customers as we go on as well, but we have seen the ability to move gas on our capacity and also do a lot of parking loans on our system as well.
Operator: We go next now to Spiro Dounis at Citi.
Spiro Dounis: First question, maybe to start off with capital allocation. Curious how you guys are thinking about maybe where that next marginal dollar CapEx goes. And really, if you could just dig into some of the basins or the asset types between NGLs, gas and liquids, what's most attractive to you right here?
Walter Hulse: Well, Spiro, I think we look at every project on a stand-alone basis. We've historically been able to use our strategy of building off our existing asset base that expand and extend approach, which has given us the opportunity to do some very attractive capital projects. That same strategy exists today with more assets. So given the acquisitions we've made, we've got more opportunities to expand and extend. So we look at each and every one of those is on a stand-alone basis. That said, I think that our expectation is that CapEx will trend down here over the next several years. As Pierce had mentioned in his remarks, we have a lot of operating leverage in our existing business, whether it be NGL capacity, fractionation capacity that's coming on. So we don't need to continue to expand that. So we do see CapEx starting to trend down.
Spiro Dounis: Got it. Second one, maybe just going to the Sunbelt connector. I was curious to get your thoughts on the competing open season that's out there, how you think your project stacks up? And if there's enough demand in Arizona for maybe everyone to win some business here?
Sheridan Swords: Yes, this is Sheridan. I mean, I would say that we feel the Sunbelt Connector is a very competitive project as we look at the other opportunity out there. Obviously, right now, we're still in the open season. We're still talking to a lot of customers. We've seen a significant amount of interest as we end there. And we think a lot of that is driven by the competitive advantage of this pipeline has is that we are already connected not only to all the Mid-Con refiners in the upper Midwest that we can pull that volume and source to this pipeline, but we also have extensive connectivity into the refining center on the Gulf Coast where we can actually do some very efficient expansions. We already have capacity between the Gulf Coast in El Paso, and we have some very efficient capacity expansion that we can leverage and continue to go forward. So we think we're going to compete very, very nicely going in there. We'll just have to see how the customers come out and where we get them signed up, and how much volume to see how -- which one of these projects will continue to be built.
Operator: We'll go next now to Theresa Chen with Barclays.
Theresa Chen: Following a notable uptick in volumes across your regions, I wanted to go back to the forward outlook a bit. Given the heightened market concerns around how producer budgets may be evolving in light of recent crude price volatility and understanding that the process is still underway. But can you just give us any sense of any early indications on how you expect volumes across your supply push assets to trend through the next year?
Pierce Norton: Theresa, I'll take a shot, this is Pierce. And I'll let Sheridan fill in here. But I think the way we look at all of our different basins are what is the drilling activity currently, and we know what the crude price is today and gas prices. And then we also look at how much -- how many rigs would it take in each of the different basins to basically keep the volume flat. And so we feel very comfortable that right now, the drilling is there to keep this volume flat. And if that happens, then we also have our GORs that are rising in particular, up in the Bakken, the GOR is 3.1 and every 10th means something up there. So by our calculations, there's enough rigs out there running to hold the crude flat, and flat crude volume. We believe our gas volumes are going to continue to grow. Sheridan, you have anything to add?
Sheridan Swords: We talked about the Bakken and we get into the Permian. We have enough forward visibility into volumes that are coming on our system today and people are completing here in the last quarter of 2025 that we will still see growth coming out of the Permian into 2026 and beyond. And as we said before, we are very excited about the Cherokee formation. It seems to have a lot of resiliency with a little downturn in price up in the Mid-Continent. So we still -- we're still very positive about our volumes going forward.
Pierce Norton: And Theresa, the only thing I'd add to that is, Sheridan mentioned this, but I want to make sure that this gets across, he mentioned competing for other volumes. That's the one thing. We all focus on, what's the drilling, what's the acreage dedications. But just as importantly, there's gas that's flowing out there right now that may be going to somebody else. And as those contracts roll off, we feel confident we're going to be able to compete with those volumes as well. And most of them are going into CDPs so not a lot of capital to really connect to our operating leverage. So it's just a point I want to make sure that's made.
Theresa Chen: And would you be able to provide an update on your LPG export commercialization efforts? How are those conversations going with potential customers? And what kind of interest are you seeing in the market?
Sheridan Swords: Theresa, what I would -- this is Sheridan again. What I would say is that first thing is, as we've always said all along, we have supply to be able to build the stock and that supply for a long time has drawn a lot of people to us, and it continues to be that. So we have a lot of interest in our docks going forward. And what I would say on the contracting side of that, we are very pleased where we are right now with our contracting strategy and where we sit today. We still don't want to give a whole lot of details on that because as you all know, it's a very competitive market, but we're pleased where we are.
Operator: We'll go next now to Jean Ann Salisbury with Bank of America.
Jean Ann Salisbury: There's been some rumblings that there may be kind of a call on the Mid-Con gas complex over the next year or 2 to meet all the LNG that's ramping. Is that something that you're hearing from your customers? And I guess, Sheridan, do you have a sense of if gas egress could become a limitation there for gas and NGL growth out of the Mid-Con?
Sheridan Swords: What I would say right now, Jean Ann, is we are seeing -- hearing some people maybe move to a little bit of a gassier portion of the Mid-Continent and moved through from that, which we've always said our Mid-Continent has a little bit of a gas option to it. As gas becomes more favorable, you will see some more drilling go to the gas side, which is good for our G&P and NGL area. I still think we have quite a bit of room to go of growth in the Mid-Continent before we really run out of egress out of the Mid-Continent. And I think we'll be ahead of that as well. If we see it even getting close, we'll be able to put some things in place to be able to get more gas out of the region. So we're -- that's one of the reasons we have some conviction in growth in the Mid-Continent on our volumes as we're also seeing that move to a more gassier play.
Jean Ann Salisbury: That makes sense. And it seems like year-to-date in your processing and NGL volumes, Bakken is trending a bit above the guide and Permian is trending a bit lower than the guide. Can you just talk about the dynamics of that and how much has to do with ONEOK's market share in those basins versus basin growth overall versus your expectation?
Sheridan Swords: Well, I think we really start with the Permian and the Permian, we kind of -- because of some larger pads were delayed in the first part of the year, we kind of came out a little bit slower than we had expected. But as those pads come on, have come on, and are going now, we are now at a volume across our system where we expected to be at this time when we set our plan together. So we're pleased where we are right now with our volumes in the Permian Basin. Up in the Bakken, we have on the NGL side, we have seen some record volumes in there, and a lot of that -- kind of that high end of that has been due to ethane recovery. We talked about our discretionary ethane that we can bring on, and we've seen some pretty wide spreads between -- with the low cost of gas, or low price of gas up in the Bakken over the summer, we were able to take advantage of that and put ethane on our system and delivered into the Belvieu complex. So we've been very pleased how that's going, and that will continue into the fourth quarter.
Operator: We'll go next now to Manav Gupta with UBS.
Manav Gupta: We are in the middle of this AI revolution. I think NVIDIA's market cap went and hit $5 trillion this morning. And I'm just trying to understand, in your comments, you did mention all the ways -- some of the ways you can benefit from this revolution. Can you elaborate on it? Where could ONEOK see the opportunities as we get into this data center build frenzy in the U.S?
Sheridan Swords: Yes. This is Sheridan again. What we're seeing is we have been contacted by I mean, well over 30 different projects on -- for data centers. And they were putting those projects in close to natural gas pipes to be able to feed the electric generation they need for those data centers. And so we've had our fair share of look at those, and we have some where they are very close to our pipeline that we feel we have the competitive advantage to be able to supply those. These are not going to be high capital type projects. They're going to be very nice low capital, nice return type projects. But we are seeing -- a good number of them that we think that we have the competitive advantage of either speed to market and how close we are to the data centers that we're going to win our fair share.
Manav Gupta: Perfect. My quick follow-up here is you and your partners recently announced the Eiger Express pipeline. Help us understand the importance of this project? And why do you see the need for this project to go ahead?
Sheridan Swords: Yes. On the Eiger Express project, we're really excited about that as we continue to see the demand from LNG and a lot of that demand is needed to be supplied out of the Permian Basin. We still see growth in that area. The Eiger was a nice complement to the Matterhorn. And because of the ownership we had in Matterhorn, we were able to see inside of that. And that project was FID when they had enough firm commitments from customers to be able to make an acceptable return. They've been continuing to be able to get more contracts on that. So we're very pleased where the Eiger project is going, and it allows us to put complete our integration, be able to put gas out of our gas plants onto a pipeline that we get some equity back in and be able to grow with it. So we're very excited about the Eiger project.
Pierce Norton: Well, the only thing I'd add to that, Manav, is that you've got the capacity that's currently out of there. One of the reasons that you see some of these widening of the spreads is because of the tightness of that capacity. So there is extra capacity that's needed in the 10 Bcf of LNG that's been basically built down in Louisiana and Texas, primarily in Texas. It's going to need this gas. And so it's not like we're building the pipe for 10 Bcf. It's just only a portion of that. So the demand side of this thing is very positive to fill it up.
Operator: We'll go next now to Keith Stanley with Wolfe Research.
Keith Stanley: I wanted to follow up on Sunbelt first. So in the past, you've talked to potentially working with partners. Could that include refiners or other strategics? And are there any discussions going on, on that front that could help commercialize the project?
Sheridan Swords: We've commented that we would deal with partners. And what I would say, they need to be a strategic partner. They need to bring something to it. And we're continuing to open to that. Obviously, if there's we would not comment on any conversations that are going on at this time, but we are open to a partnership as we've said before.
Keith Stanley: Okay. Great. Second one, I think in the prepared remarks, you alluded to the Permian as kind of a core strategic focus for the company. Given it's a very competitive market, especially these days, do you feel like you could benefit from more scale in the Permian overall? And then separately, can you remind us where you are in the process of some of the EnLink volumes transitioning over to ONEOK pipelines in your system?
Sheridan Swords: I'll start with the last one first. I mean on the EnLink volumes, I think you're talking about the NGL volumes coming off of the legacy EnLink plants that are not going to the ONEOK NGL system. We will see those start to come over. They're roughly around 50,000 barrels a day. We'll start seeing them come over from '26 through '28 in the time frame when those contracts come up and they will -- once those contracts are finished, they'll come right over to our system as well. Obviously, we like scale in the Permian because we're growing in the Permian. We're already talked about adding another 500 million a day of processing capacity in the Permian. So we like that. We like to grow it there. We like to grow organically first because that is the most economical way to growth. As we look at M&A, we look at everything out there, and we're going to be very intentional and disciplined to if we're going to do anything more on the M&A side.
Operator: We'll go next now to John Mackay at Goldman Sachs.
John Mackay: You talked about, I think in response to Jean Ann's question, just the ramp on kind of Permian G&P relative to the guide. Can you also just spend a minute or 2 on the crude side? I think also the year-to-date is looking a little softer versus the full year. Maybe just bridge us to the volume guidance. And then again, if you're talking about a rig environment that gets you to flat next year, how we think about that piece of the growing -- the business growing into '26?
Sheridan Swords: So when we look at our crude volumes that we think about, we are down just a little bit on that piece, but you really got to break that apart into its components. Really, the area that we are down on is mostly in our low volume -- I mean, a high-volume, low-margin business that we're down on. The main business up gathering crude out there, we are within range there, and we are excited about continuing to grow there. So you got to look at our crude volume in [indiscernible] long-haul, the HDS system in Belvieu. We have some short-haul volume out in the Midland that all are down a little bit. But the core -- what I call our core business, the core business have taken it off of leases, or batteries and move it through our system is where we expect it to be, and that's really the driver behind that business.
John Mackay: All right. That's helpful. I appreciate that. And maybe staying in the segment. Now it's the Easton kind of integration pretty well done. You're going to get more on the Conway side tied in next year. Are you able to frame up in kind of, let's say, like a mid-cycle environment, or what have you? This overall size of the blending business on a kind of, like, annual run rate basis at this point?
Sheridan Swords: I think when you look at the blending business, you've got to be very -- there's a spread component in there. So it fluctuates from year to year. What I would say is that through our synergies and everything else, they had in my remarks, we've been able to increase the volume by 15%, which really sets you up for when prices go back to more normal, spreads go back to more normal, we'll really be able to take advantage of that opportunity continue to go forward. And as we put more of these synergy projects in place, we're going to be able to increase that money, that blending uplift that we have, being able to make sure we have volume there when we can blend and be able to get to places where before we were uneconomical to get to. So it is -- as I remind everybody is that 90% of our business is volume times fee and that last spread and commodities is only 10%. So even our blending business that we like very much so, and we're growing is still a small portion of our business.
Operator: We'll go next now to Sunil Sibal at Seaport Global Securities.
Sunil Sibal: So I just wanted to go back to your comments on the guidance. I realize that you are focused on ending 2025 strong. So in that context, realizing that we had MB-4 incident also, is the midpoint of the full year guidance, that $8.225 billion, still a good kind of an anchor point for -- as far as fourth quarter goals are concerned?
Walter Hulse: Well, I think what we have said is that we are confident to be within the range. We've affirmed that range. And we're going to see how the fourth quarter continues to play out. But at this point, we're going to keep it in the range, and we're very confident of achieving there.
Sunil Sibal: Okay. And then one clarification on Bakken. From Sheridan's comments, it seems like you mentioned that you have 16 rigs running on your system. I believe last quarter that was 15. So is there a pickup in rigs? So first of all, I want you to clarify that? And then how should we think about that number trending, especially as you go into discussions with your customers?
Sheridan Swords: Yes, it is up one. I mean, there's a lot of flexibility in those rigs moving on and off, but we are up rig on our business that we like. As we think about trending into 2026, the producers are still in their budget process right now. As they continue to come out that, we hear more from them. We'll be able to reassess what 2026 looks like in terms of rig count and volumes and everything else like that. But we have good momentum into 2026, so we like, so we're optimistic.
Operator: We'll go next now to Jason Gabelman of TD Cowen.
Jason Gabelman: I wanted to ask one just on the quarterly results. In your disclosure, you talked about the NGL segment benefiting from -- it seemed like selling product out of inventory and refined products from timing of operational gains and losses. I was hoping you could elaborate on those comments a bit more as I'm trying to understand the underlying earnings in the quarter. And I have a follow-up.
Sheridan Swords: Well, this is Sheridan. On the NGL side, we talked about selling purity products out of that. This is in our marketing business, there's different times that we have -- we may be holding product for storage and selling at a different time of the year. And so because of that, we'll maybe moving earnings across quarters a little bit. So we saw an uplift by being able to sell some product in the second quarter -- I mean in the third quarter. So it's really kind of a timing of sales as we -- on our marketing business. And on the refined products on our over and shorts. If we look out over the year, we tend to be just slightly a little bit long on volume, but we take opportunistic time throughout the year to sell our over and short into the area, and this is the time that we sold it in the second -- in the third quarter.
Jason Gabelman: Okay. Got it. And my follow-up is a bit more strategic in nature. It seems like your growth rate -- your EBITDA growth rate is obviously going to slow here from very attractive rates the past few years to -- you've previously said mid- to high single digits. We'll see where it comes out next year. But as you think about attracting capital to your equity, how important is it to maintain our competitive growth rate? Or do you think that your EBITDA growth rate is not necessarily a main determinant of equity capital you could attract to the stock and there are other avenues to do that?
Walter Hulse: Well, I mean, I think clearly, having a growth rate -- a positive growth rate is going to be something that attracts people to the stock. I would just kind of point you to our history. We've gone through cycles before where commodity prices have been up and down. And year-over-year since 2014, we've had positive EBITDA growth every year. We continue to see that trend. Clearly, at the moment, we need to get a little better fine point on where the producers are going to participate in the coming year before we provide a very specific number, which we'll do in the first -- beginning of the first quarter. But the business is incredibly resilient. And we are very confident that we will continue to grow into 2026. We clearly are going to be focused on our capital allocation, taking the opportunity to bring on real high-quality projects. But if you look at our cash flow profile, we should have the opportunity in the coming years to be in there buying some stock as well. So that could have a positive impact. But at the end of the day we continue to achieve that earnings growth going forward.
Pierce Norton: The only thing I'd add to that is I'd encourage you to go back and look at the data for, like, crude oil prices between 2008, 2009, 2015 to 2016, 2020. It really paints the story of what Walt just said, about how we've been able to grow our EBITDA through these different down cycles. And one thing I would say because most of us have been in this business over 40 years, with every down cycle there's usually an up cycle. You don't get into another down cycle, so you have an up cycle. So it will come back, and we're confident to manage through the down cycle.
Operator: Ladies and gentlemen, that will conclude our question-and-answer session. I would now like to turn the call back over to Megan Patterson for any closing remarks.
Megan Patterson: Thanks, Bo. Our quiet period for the fourth quarter starts when we close our books early next year and extends until we release earnings in late February. We'll provide details for that conference call at a later date. As a reminder, our IR team will be available throughout the day for any follow-ups. Thanks, everyone, and have a good day.
Operator: Thank you, Ms. Patterson, again, ladies and gentlemen, that will conclude today's ONEOK Third Quarter 2025 Earnings Conference Call. Again, thanks so much for joining us, everyone, and we wish you all a great afternoon. Goodbye.